Operator: Greetings. Welcome to the AirSculpt Technologies, Inc. Second Quarter 2023 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. At this time, I would like to hand the call over to Dennis Dean, Chief Financial Officer. Thank you. You may begin.
Dennis Dean: Good morning, everyone, and thanks for joining us to discuss AirSculpt Technologies results for the second quarter. Joining me on the call today is the company's Founder and Executive Chairman, Dr. Aaron Rollins; and Chief Executive Officer, Todd Magazine. Before we begin, I would like to remind you that this conference call may include forward-looking statements. These statements may include our future expectations regarding financial results and guidance, market opportunities and our growth. Risks and uncertainties that may impact these statements and could cause actual future results to differ materially from currently projected results are described in this morning's press release and the reports we will file with the SEC, all of which can be found on our website at investors.elitebodysculpture.com. We undertake no obligation to revise or update any forward-looking statements or information except as required by law. During our call today, we will also reference certain non-GAAP financial measures. We use non-GAAP measures in some of our financial discussions as we believe they more accurately represent the true operational performance and underlying results of our business. A reconciliation of these measures can be found in our earnings release as filed this morning and in our most recent 10-Q when filed, which will also be available on our website. With that, I'll turn the call over to Aaron.
Aaron Rollins: Thank you, Dennis, and good morning to everyone joining the call. Our results for the second quarter were very strong and further demonstrate the demand for AirSculpt. Todd and Dennis will provide more specific details about our performance in their remarks. But let me say that I'm so pleased with how we have grown the company to the place it is today. We have performed over 40,000 procedures in our history and are now offering AirSculpt in three countries. I believe we are well positioned for continued long-term growth and significant shareholder value creation. As I shared previously, I have shifted more of my time to clinical excellence and innovation. On the innovation front, we recently rolled out AirSculpt Lift, a facial fat transfer procedure that can eliminate wrinkles, resort loss volume to areas of the face and provide more volumes in the lips. As you know, the broader filler market is over $4 billion, which expands our already significant TAM to over $11 billion. Our new procedure offers significant benefits compared to artificial facial fillers. We use the client's own fat, which I refer to as liquid gold, as the actual filler material. This increases the body's acceptance of the filler and provides a more natural, permanent and consistent results. It's all highly concentrated with the clients' own stem cells. Artificial fillers, which, as you may have read recently, are resulting in adverse hypersensitivity reactions, lymphatic drainage issues and may not be fully absorbed by the body. Artificial facial filler injections must be touched up every 12 to 8 months, whereas our procedure is one and done, it's permanent. That's both a convenience and a value driver for our clients. Bottom line, with the addition of AirSculpt Lift, we are broadening our offering as well as our competitive moat. We have rolled out this procedure in about a third of our centers, including London, and we'll continue to expand it to the rest of the fleet over the coming months as we train up our doctors. We are starting to test more new procedures and working on many other exciting new and enhanced innovation initiatives that I will share at a later date. Overall, our team is delivering consistent performance and executing on our key growth areas. Our strategy continues to focus on strengthening the AirSculpt brand, accelerating our store openings and further enhancing our profitability as we scale our business, both domestically and internationally. With that, let me now turn things over to Todd.
Todd Magazine: Thank you, Aaron, and thank you to everyone on the call for joining us today. It's been over six months since I joined AirSculpt, and my excitement for the company and its future has grown exponentially. Our highly differentiated proposition, our incredibly talented team and our significant runway of opportunity are just some of the reasons from my increased optimism. Let me now turn to our most recent performance. I am pleased with our second quarter results, highlighted by revenue growth of approximately 12% year-over-year, which was nicely ahead of our projections. This growth was led by 13% year-over-year case growth and a sequential uptick in our average revenue per case or procedure rate, which was about $13,300. Our volume growth for the quarter was led by de novo centers that opened over the past 12 months, and I'm pleased how they are performing. Following our strong first half performance, we now expect to achieve the upper end of our revenue guidance range for 2023. Similar to prior calls, my comments this morning will be centered around three important areas that are my focus in 2023. As a reminder, they are: strengthening the organization by bringing in additional talent and improving our processes; focusing on revenue growth, which includes ramping up our de novo expansion program; and finally, rightsizing our cost structure and strengthening our capabilities to support a much bigger and more robust fleet of centers. First, on strengthening the organization. Our additions to the executive team are complete for now. Our team now has a powerful combination of legacy executives with tremendous entrepreneurial experience and new executives who bring enterprise experiences in building and scaling businesses and organizations. I expect these changes to result in more consistent revenue generation and margin achievement. In terms of revenue growth, we have opened four of the five de novo centers that we committed to at the beginning of the year. We expect Raleigh, North Carolina, the fifth center, to open by the end of the third quarter, which is in line with what we had expected in our original outlook. All of our de novo centers are performing at or above expectations, including our London office, which is off to a very good start. Consumer interest at dislocation is very high, and we continue to be optimistic that this will be a flagship location, as well as a gateway to other international markets. Our de novo pipeline remains robust, and we are happy to announce this morning that we expect to open at least six new locations in 2024. We will provide more details about the specifics of these centers on our third quarter call. Importantly, we have worked with a well-regarded real estate analytics company to build a model that has helped guide our future location decisions and gives us even more confidence in the performance of our future de novo locations. Our real estate analytics work over the past few months also included quantifying the U.S., Canada and rest of world de novo opportunity. I'm excited to share that this work suggests that the global opportunity for AirSculpt is around 500 locations, a 20x increase over our current fleet. Keeping with new revenue growth drivers. We launched our first significant celebrity partnership in June to help us drive greater brand awareness, one of our biggest opportunities. We are proud to showcase the transformative AirSculpt results of actress TV personality and entrepreneur, Jenny McCarthy. Jenny came to Dr. Rollins a few months ago because, like many women her age, there were parts of her body she didn't like no matter how much she worked out or dieted. After one session, which included her abdomen and waist, her results were extraordinary. In fact, it is no coincidence that after Dr. Rollins did Jenny's procedure, she has offered the opportunity to be in Kim Kardashian's, SKIMS Shapewear campaign. We literally helped turn Jenny into a 50-year-old swimsuit model. During the short time our Jenny McCarthy initiative has been in the market, we have already seen an uptick in brand awareness and a significant demand related specifically to her procedure. Given these results, we have already begun searching for the next big celebrity whose body we can help transform and whose story can help us continue to drive awareness of the AirSculpt brand. Finally, I am very pleased with the progress we have made in our cost management efforts. We have already acted on a significant number of the areas that we identified as opportunities for streamlining our cost structure and improving our processes. I feel confident that we are firmly on track to meet and potentially exceed the targets we have laid out, which is $2.5 million of cost savings in 2023 and a run rate of $5 million as we exit the year. Overall, I am pleased with the results of the quarter and continue to feel very good about our ability to deliver on our financial commitments to our investors in the balance of the year and beyond. Before I turn the call over to Dennis, I'd like to say thank you to the team at AirSculpt. Both our clinical and business professionals are incredibly passionate about our patients and our company, and work tirelessly to consistently deliver an experience unlike any other in the world of aesthetics. Dennis will now walk you through the financials and our outlook for the year. Dennis?
Dennis Dean: Thanks, Todd. Our revenue for the quarter was $55.7 million, a 12.2% increase over the prior year quarter. Our growth was led by approximately 13% increase in case volumes, which was primarily due to the addition of six de novo centers versus the prior year base. As of June 30, 2023, we operated 25 centers versus 19 at the end of the second quarter of 2022. Our average revenue per case for the quarter was approximately $13,300, a 1.1% decrease over the prior year's quarter and a 700% increase over the first quarter of 2023, driven primarily by procedure mix. This was above our target range of $12,000 to $13,000, which we attribute to our continued optimization of our procedure bundling promotional strategy. While we continue to target a $12,000 to $13,000 average sale price, we do expect quarterly fluctuations. Our percentage of patients using financing to pay for procedures remained in the 40% range and has been very stable from quarter-to-quarter in spite of the uptick in interest rates. Our same-store revenue was down approximately 4% compared to the prior year period, which was in line with our expectations. For perspective, Q2 2022 benefited significantly from the pent-up demand created by COVID, resulting in artificially high procedure volumes. With the completion of our second quarter, we are mostly beyond the COVID noise in our comp calculations. We continue to be encouraged by the demand we are seeing, and we expect to achieve mid-single-digit comp growth in the back half of 2023. Our cost of service as a percentage of revenue was 35.8% versus 35.2% in the same period last year. And our customer acquisition costs for the quarter was approximately $2,250 per case, which was comparable to $2,000 in the prior year period. Our gross margin per case was approximately $8,500 during the quarter, which reflects an approximate 4 times return on our customer acquisition costs. We expect our CAC to be in the low $2,000 range for the near term, and we expect it to decrease over time as we execute on further brand awareness initiatives. For the quarter, our adjusted EBITDA was $14.6 million compared to $14 million from the prior year period. As reported last month, our adjusted EBITDA results now include preopening costs for de novo centers in our calculation. This impact was approximately $1.4 million in the current quarter and $1.2 million in the prior year quarter. As a reminder, this change in presentation does not impact our expected cash flow or leverage ratios as calculated under our credit facility. Our adjusted EBITDA margin was 26.2%, which was a decline of 190 basis points versus the prior year quarter due to the increase in expense growth related to clinical and other support-related investments. On a sequential basis, our adjusted EBITDA margin increased by 560 basis points. We expect further margin improvements in the second half of 2023 compared to the prior year period as a result of our cost management initiatives taking effect. As Todd noted, we expect to achieve approximately $2.5 million of in-year savings related to this work. Our liquidity position continues to be very strong. Our cash position as of June 30, 2023, was $20.8 million, and our $5 million revolver remains undrawn. Our gross debt outstanding was $83.9 million, and our leverage ratio at the end of the quarter as calculated under our credit agreement was 1.6 times. Cash flow from operations for the quarter was $12.2 million, which represents an adjusted EBITDA conversion ratio of 84%, and we expect an adjusted EBITDA conversion ratio of approximately 65% for the full year. We invested $2.2 million, primarily related to opening new centers, and we had a use of cash from our financing activities of approximately $579,000. We remain on track for healthy free cash flow generation in 2023. We continue to expect our primary uses of cash flow during the year will be to fund growth investments for the business, such as adding de novo centers, driving technology innovations and brand awareness initiatives. We also expect to continue to strengthen our balance sheet throughout the rest of the year, positioning us to further increase shareholder value. Additionally, consistent with the first quarter earnings release, we provided non-GAAP measure reflecting adjusted net income per share diluted for the quarter of $0.13. We believe this measure presents useful information to investors by highlighting the impact to earnings per share of selected items used in calculating our adjusted EBITDA. This morning, we are confirming our 2023 revenue guidance range of $187 million to $192 million, representing 11% to 14% increase over 2022. As Todd noted, based on the strong first half results and continued momentum in the early part of the third quarter, we expect to achieve the high end of our target guidance range with our de novo centers driving the magnitude of our year-over-year revenue growth and our expectation of returning to positive same-store growth in the back half of 2023. We are also confirming our 2023 adjusted EBITDA guidance range of $43 million to $45 million, which represents year-over-year growth of 11% to 16%, and based on our current performance and confidence around achieving our cost initiatives, we expect to achieve the high end of this range. With that, I'd like to turn the call over to the operator for some questions. Operator?
Operator: [Operator Instructions] Our first questions come from the line of Josh Raskin with Nephron Research.
Josh Raskin: Just wanted to start with the same-store growth. I think previously, last quarter, you guys had talked about sort of a zero to one, and now it seems like real ramp up in the second half. And I know there's a little bit of an easier comp issue. But as we sort of think about maybe even 2024, what same-store case growth is supposed to look like? Or what are the expectations as you guys move forward?
Dennis Dean: Josh, it's Dennis. So yes, one of the things that we did call out on the remarks was that the same-store number, we expected it to be a little bit of a decline year-over-year. We did have quite a bit of pent-up volume that was impacting us last year, and it was just exasperated obviously, with Q2 being our largest quarter from seasonality standpoint. Again, we do believe what we're seeing, a mid-single-digit range for the back half of this year. Obviously, we're not giving 2024 outlook yet. We'll do that as we kind of get towards the year-end call. But we think that getting out of the COVID noise, we -- again, we're in the low to mid-single digits, we think is probably a suitable range.
Josh Raskin: Perfect. And then next year, you talked about six centers. I'd be curious to get the rationale for ramping up. I know Todd has talked about this since he started, in terms of ramping up the number of centers, but why you're feeling comfortable? And then, should we be expecting a higher level of start-up costs that are now included in EBITDA?
Todd Magazine: Josh, it's Todd. So, we feel very good about the six. One of the things I've talked about, and it's been a big focus of mine, is to make sure that we can ramp that up. And obviously, as I noted in my remarks, we now have kind of a pathway towards a significant increase. But we're also -- the other part of this, I think, it's really important is we want to make sure we have the operational capability to open and operate those locations. So we're in the process of building that. We're building a small de novo team. So I feel very comfortable with six. And obviously, our goal is to continue to ramp that up over time. But we feel very good about that. And as I stated, we now have kind of a future map of where to go and significant runway of opportunity. So, we're optimistic that, that number will continue to go up in the out years.
Josh Raskin: Got you. And then just last one for me. It's been -- just a real quick -- I'm sorry, Dennis, do you have something there?
Dennis Dean: Well, I was just going to follow up on your pre-opening cost part of your question, too.
Josh Raskin: Yes, thank you.
Dennis Dean: Obviously, we did five this year. One of those was London, again, we're not laying out the specifics of which locations we're going to go into next year. But obviously, going into international moves a little bit from an increased standpoint. But again, we went five this year, forecasting six next year. I mean, you can kind of work through the math on that. So we don't expect anything significantly different as it relates to adding one more.
Josh Raskin: Got you. Okay. And then my last question just is there's been an obvious spike in GLP-1 prescriptions and a lot of media attention. I'm just curious how you think that impacts your patience. And do they see that as a potential alternative? Or is that a companion to AirSculpt? Just be curious to see if you're seeing any trends around that.
Aaron Rollins: It's Aaron Rollins. Glad you asked. We get this question a lot, and I think it's important to talk about Ozempic and other GLP-1 inhibitors, are weight loss drugs. And AirSculpt is body contouring. And what's great is they're very symbiotic, and they're not competitive in any way. We see -- it's been a tailwind for us now, and we see it so often. We internally call it [AirOzempic] (ph), because we see so many people who are on Ozempic actually getting AirSculpt because now they can give themselves permission. If you lose 25, 30 pounds, and your arms and chins still bother you, you're even more likely to come in. When you lose weight, it doesn't just melt off your body evenly. So it actually creates a really great tailwind for us. We also see people who go on Ozempic after having AirSculpt to kind of take another step in their journey, and we love that, too. So we're a big fan, and we see it actually opening the market.
Operator: Our next question is -- comes from the line of Korinne Wolfmeyer with Piper Sandler.
Korinne Wolfmeyer: Congrats on a really good quarter. So, first, I'd like to kind of go back to that volume question earlier, and trying to better understand what is really the opportunity for volume growth within each existing center? And how can we expect that kind of like same-store center case number to trend over the longer term? And then as we look forward, is the growth really going to keep coming from the unit expansion versus pricing and same-store cases?
Dennis Dean: Korinne, what we see, again, as we kind of look forward into the future, we think a low to mid-single-digit is kind of the place we want to be from a same-store perspective. Clearly, historically, there's been so much variability from quarter-to-quarter just from the COVID years and those sorts of things. But we think that's a healthy range for us that we're pretty comfortable with. As we kind of get through that, I mean, as our fleet gets larger and larger, a small single -- low single-digit same-store growth will obviously drive up a substantial portion of revenue growth, but we're going to continue to see de novos being a very healthy part of our expectations.
Todd Magazine: Korinne, it's Todd. Just to add on to that. Look, I would look at it as we're focused really on two things. And that obviously is continuing to expand through de novo also on continuing to drive comp store growth. Honestly, I think there's a lot of opportunity there, and we're hyper focused on that right now. As Dr. Rollins mentioned in his remarks, we're continuing to roll out new procedures, which we think are definitely going to have comp benefit for us. We talked about some of the brand awareness initiatives that we are really expanding and increasing our effort there. That will help as well. And then, we're doing a lot of things internally, in terms of, and I've talked about, improving our processes and really enabling the business to get much more sophisticated, which we think is also going to help. So, we have a lot of new things that we're doing. So that should definitely help us to deliver the comp growth that Dennis talked about. And then we've been a de novo growth story, and we're going to continue to focus on that. But we can walk and chew gum at the same time. So we're very confident and we're building those capabilities to really drive our white space opportunity, but also to continue to drive comp growth, which we feel very confident in.
Korinne Wolfmeyer: That's great. Thanks for all the helpful color. And then just on -- kind of as you expand your de novos and you're adding more and more centers each year. Can you talk about how the hiring environment has been both in terms of getting surgeons on board, getting nurses and staff in the doors? I know historically, that's been a little bit of a challenge here and there. And so just curious how that's trending and how you've been able to ramp up the hiring process as you further expand the units.
Aaron Rollins: Thanks for the question. It's Aaron Rollins. As for nursing, we've actually made some changes recently that have been really beneficial, which is that although we have our ends in every office, we're also utilizing our nurses and other levels of allied health professionals to broaden our workforce. So now we have LPNs or LVNs, depending on the state and medical assistants actually for non-nursing jobs that are of a clinical nature. So that's been going really well. And for doctors, it's the best it's ever gone since I started the company. Now that we have almost 90 surgeons, our referral network amongst those surgeons is superb. We give our surgeons a referral fee if we hire someone they refer and that's been a huge driver. We have many offices that have more surgeons actually who want the job than we have spots to fill. So we're doing excellent. And I'd like to say that our in-house surgeon recruiting team is just superb. We have two people and they are just doing a wonderful job. We couldn't be happier with them.
Korinne Wolfmeyer: Awesome. And then just quickly, if I could squeeze in one more. I think you've previously talked about kind of like, the long-term EBITDA target of like 30%, kind of getting back to that previous 30% that you were doing a couple of years ago. With the new EBITDA calculation, is that still intact, or can we assume that, that's going to be maybe a little bit weaker longer term?
Dennis Dean: Yes, it's a great question, Korinne. Yes, obviously, we had to make the adjustment on the EBITDA calculation. Yes, absolutely, that's going to slow that ability to reach that 30% number. It's going to push it back a little further in the future. If we were to look at like-for-like, we still don't see any changes. Again, this change was purely a presentation, doesn't impact cash flow or anything like that, doesn't impact operations. But to your point, if you adjust that through no longer getting credit for the pre-opening, that's going to -- that will slow that process down of hitting that 30% number.
Operator: Our next questions come from the line of Parker Snure with Raymond James.
Parker Snure: This is Parker on for John Ransom at Raymond James. I was just hoping to ask about the new procedure AirSculpt Lift. Generally, what's the price point for this add-on procedure? What's the uptake? How many procedures have you done? I know it's still new in the rollout. And then, is this something that can be done alongside a larger procedure like an abdomen? Like, can it be done all in the same setting? Or can you -- or does that happen to be kind of a separate appointment? Maybe just talk more to -- dive down a little bit deeper.
Aaron Rollins: Yes, sure. It's Aaron Rollins. So first of all, you can do it in conjunction with any AirSculpt procedure, so you could do it with a BBL, you could do it with an abdomen, you can do with arms. It doesn't really matter. In fact, if you don't want AirSculpt because you're really skinny, we can still harvest enough fat that -- because it only requires a few tablespoons of fat. So we could actually just do a patient we would never have done before and AirSculpt them just to harvest enough that for their fillers. So it can be done in conjunction with anything and it really takes about 15 minutes extra. In terms of pricing, we haven't said exactly what it is, but there's several areas on the face from the temples down to the chin to do, including lips, nasolabial folds, cheekbones, jawline and the chin itself. And each area will be between $1,500 and $2,000. So it just depends on how many areas of their face they want done. But once we filter their fat and start, I mean, it's basically cost us nothing to do. So I'm really, really delighted to offer it. In terms of our rollout, right now, it's rolling out. We have, I'd say, almost half of our offices are doing it, and we're -- we have a training module that we're just getting everybody to do now. Our docs are really excited about it. A lot of them had done it in their private practice. So it's not a heavy lift at all. And it's exactly what we do every day. So, we're the only scaled fat transfer player that there is. So fat transfers for us is part of our DNA. I'd see this becoming meaningful in 2024 from a revenue perspective and not in 2023 as we roll it out.
Parker Snure: Okay. And then just moving on to the de novo openings. I appreciate the comment on the -- you think there's 500 locations globally. Maybe just drill down and -- how many markets do you think are available in just the United States?
Todd Magazine: So, off the top of my head, I don't know how -- I mean, there's dozens and dozens of markets. We've done a very sophisticated model working with a third-party to help us look at the runway of opportunities. So, in terms of actual numbers, as I said, about 500 globally, about 60% of that is in the U.S. and Canada. A lot of those are kind of new markets, white space markets. There are also some infill opportunities. We're very, very optimistic and are feeling very good about those opportunities. And the modeling really takes our current stores and basically project. So we feel very confident in the opportunity. And this is really across geographies. It really demonstrates the portability of this model. And recall that we're a roughly $9 million AUV business. So not only are we going to be able to do locations in that general AUV number, but also we have a little bit of unit economic flexibility to go down a bit and still have very, very strong returns. So we feel very good about that. And again, it's going to enable us to get into lots of different markets beyond just kind of the most obvious both in the U.S. and Canada and then even significant opportunity internationally. So the good news is we now have a roadmap, and we know exactly where to go. And obviously, we're starting to attack that as we look into 2024.
Operator: [Operator Instructions] Our next questions come from the line of Simeon Gutman with Morgan Stanley.
Jackie Sussman: This is Jackie Sussman on for Simeon. Just, is there anything to call out on the promotional environment? Are things becoming more competitive? Is this embedded to your assumptions on profitability for the year? Anything you can call out there?
Todd Magazine: Jackie, this is Todd. We're really not seeing -- I mean, look, momentum has been great and it continues as we kind of enter into the third quarter, really no significant changes. As we mentioned in our opening remarks, we're continuing to do bundling of our procedures. Obviously, that means getting people to consider more body parts and giving them a value as they bundle, and we're really seeing that strategy being very successful for us, which is obviously very, very encouraging. Absolutely nothing that we're seeing in the marketplace from a competitive standpoint or any kind of recessionary headwinds. We're not seeing any of that. Our business continues to be very strong. Demand is very strong, and we're feeling very, very good about it. So really kind of onward and upward and really excited and we're obviously excited about finishing out the year strong.
Jackie Sussman: Got it. And maybe just one more. I guess, how are the London case, the new centers there trending relative to kind of the North American centers in your most marquee markets? Anything to call out there on the ramp?
Todd Magazine: Yes. So let me start, and then I'm going to turn it over to Aaron. So first of all, London is off to a good start and very much meeting our expectations. Recall that we just opened this in June. In fact, we only have really one week of second quarter performance in the numbers here. But early on, we're feeling very, very good, meeting our expectations. I'll turn it over to Aaron who spent a lot of time there. This has been a labor of love for him for sure. So I'm going to let him give a little more color commentary.
Aaron Rollins: Yes. A little bit more information on London. Delighted to say that we actually have four surgeons working there now. One of them is a key opinion leader that's flying from America to London, because he likes London. So, he flies in, but we have three British surgeons working there every day. And I've spent a lot of time. I have to say, we've never had more PR than we've had in London. I just did the morning show there. And I'm delighted with the offices, one of our nicest locations. And the trends we're seeing in ASP are significantly higher than our U.S. ASP. And that's not because we're doing it, it's because the market -- the actual market price there is just a lot higher. I also have to say that from a competitive standpoint, it's really an incredible place to be.
Operator: There are no further questions at this time. I would now like to turn the floor back over to Todd Magazine for closing comments.
Todd Magazine: So thank you, and thanks, everybody, for joining us this morning. We're obviously very encouraged by our continued strong business performance. We're excited about the balance of the year, and we look forward to reconnecting in a few months and talking about more good results. So have a great rest of summer, and we'll talk to you in a few months.
Operator: Thank you. This does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and enjoy the rest of your day.